Operator: Good day and welcome to today’s Colgate-Palmolive Company Second Quarter 2019 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgate-palmolive.com. Now, for opening remarks, I’d like to turn the call over to Senior Vice President of Investor Relations, John Faucher. Please go ahead, John.
John Faucher: Thanks Ebony. Good morning and welcome to our second quarter earnings release conference call. This is John Faucher, Senior Vice President for Investor Relations. Today’s conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings press release and our most recent filings with the SEC including our 2018 Annual Report on Form 10-K and subsequent SEC filings all available on Colgate’s website for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in table 8 and 9 of the earnings press release. A full reconciliation to the corresponding GAAP financial measures is included in the earnings press release and is available on Colgate’s website. Joining me this morning are Noel Wallace, President and Chief Executive Officer; and Henning Jakobsen, Chief Financial Officer. I will start off with some thoughts on our progress halfway through the year. I'll then provide some details on Q2 and our full year outlook. I will then turn it over to Noel for his thoughts and he'll open it up for your questions. Halfway through 2019, we’re pleased but not satisfied with the acceleration in organic sales growth. As Noel discussed earlier in the year, delivering on our organic sales growth target is our number one priority for 2019. We continue to focus on executing against three key areas to accelerate growth: using innovation to drive the core, pushing into adjacent higher growth segments and expanding our availability in faster growth channels. These strategies have helped us to deliver broad-based improvement in organic sales growth over the past few quarters with a healthy balance between price and volume growth. For both the first and second quarters we've delivered organic sales growth across all four product categories: Oral Care, Personal Care, Home Care and Pet Nutrition and in both developed and emerging markets. Our first area of focus is driving the core through innovation like Colgate Total and Hill's Science Diet re-launches. We’ve seen Colgate Total's global market share improved sequentially since the re-launch and we're seeing significant increases in pricing across key markets. For Science Diet we’re seeing share gains in brick and mortar, as well as in e-commerce in the U.S. We’re just at the beginning of the international rollout of this re-launch and the initial retailer response has been positive. Secondly, we are pushing into adjacent higher-growth segments like Naturals and Therapeutics. We are very pleased with the progress that our Charcoal launches are making around the world and we continue to expand elmex and meridol to new markets. Our third focus is to expand the availability of our products around the world by focusing on faster growth channels like e-commerce and discounters which are driving much of the category growth. Our U.S. e-commerce business continues to deliver growth well in excess of the category driving significant toothpaste market share gains in the second quarter and year-to-date. Next we're pleased to share progress in gross margin expansion in the second quarter as our gross margin was up for the first time in five quarters. Our focus on delivering pricing through premiumization and revenue growth management is paying off both in terms of organic sales growth and at the gross margin line, and our funding the growth initiatives are having a strong year so far. We are also very excited about the transaction we announced two weeks ago. We’ve spoken over the past few years about our focus on skin health. The completion of our acquisition of the Laboratoires Filorga Cosmétiques Skin Care business will provide us with a high margin, very high-growth brand with a focus on the anti-ageing segment. Filorga had net sales of approximately $250 million for the latest 12 months ending June 2019. The business is also nicely profitable as it has growth in operating margins that are above our overall Personal Care margins. As we said in the press release announcing the transaction, we expect no impact to EPS this year from Filorga, that excludes $0.01 of transaction costs. We expect roughly $0.01 of earnings accretion in 2020. We plan to finance the acquisition with a combination of cash and debt. In order to pay down the additional debt more quickly, we intend to reduce our share repurchase activity after the close of the transaction. We expect this will reduce our 2019 growth share repurchase by around 10% from last year's total of $1.24 billion. Finally, we made some real progress on enhancing our leadership on sustainability. As part of our 2025 target to make all of our packaging recyclable, we received the first-ever approval for recyclable toothpaste tube in The United States from the Association of plastic recyclers. This is a big step in our sustainability journey. Moving to our Q2 results. Our net sales declined 0.5% in the second quarter. We delivered 4% organic sales growth with 1% unit volume growth and 3% favorable pricing. This was more than offset by negative foreign exchange impact of 4.5%. On a GAAP basis, our gross margin was up 50 basis points year-over-year. Excluding the impact of our Global Growth and Efficiency Program, it was up 30 basis points year-over-year. Pricing was a positive 100 basis point impact to gross margin in the second quarter, while strong productivity performance drove a 220 basis point benefit. This was mostly offset by a minus 300 basis point drag from raw materials inflation, which includes foreign exchange transaction cost and other was favorable by 10 basis points. On an absolute basis, advertising investment was up 3% year-over-year. On a percent of sales basis advertising was up 40 basis points year-over-year with increases on a percent of sales basis in every division. We still expect the greater increase in advertising spending on both an absolute basis and as a percent of sales in the second half of the year. Excluding charges resulting from our Global Growth and Efficiency Program and advertising spending, our SG&A expenses were up year-over-year in the second quarter on an absolute basis and as a percent of sales. As higher compensation, logistics costs and the cycling of some one time benefits in the year-ago period more than offset savings from our productivity programs. On a GAAP basis diluting earnings per share of $0.68 were down 7% year-over-year in Q2. Excluding charges resulting from our Global Growth and Efficiency Program in 2019 and 2018 and the benefit from a foreign tax matter in 2018 diluted earnings per share were down 6% to $0.72. Our free cash flow through the first half was $1.1 billion which was up 2% versus prior year. Now taking a quick look at the divisions. North America net sales grew 2.5% in the quarter as 2% volume growth and 1% pricing growth were partially offset by minus 0.5% foreign exchange. North America Oral Care growth was led by our toothpaste business where the Colgate Total relaunch help drive significant positive pricing. Our Personal Care growth was led by our PCA Skin and Elta MD professional skin care businesses, which continued to deliver a very strong growth. On the Home Care business Fabuloso continued its strong performance reaching its highest ever market share in the US. Europe posted a 5% decline in net sales with organic sales up 1% and foreign exchange minus 6%. We’re seeing sequential market share implement following the Colgate Total relaunch in key markets like the UK, Spain and Italy. On the Personal Care side, our Sanex physiological line, which brings pharmacy trends into mass channels, is driving incremental share and body cleansing. Latin America net sales were down 0.5% as 1.5% volume and 5.5% pricing were offset by 7.5% negative foreign exchange. For the second quarter in a row, we saw organic sales growth in every hub, including Mexico and Brazil. The underlying category growth rates in Latin America remain modestly positive, which is an improvement versus 2018. Our focus on premiumizing our portfolio through the Colgate Total relaunch, additional Oral Care and Personal Care premium innovation and revenue growth management, drove the strong pricing growth across the division. Net sales in Asia Pacific were down 4%, driven by negative foreign exchange of 3%, a 1.5% decline in volume and positive pricing of 0.5%. We showed improvement in organic sales growth in the quarter, led by better pricing growth. As expected, China remained drag on our results, with all of the other hubs showing organic sales growth. We’re encouraged by the performance of the natural toothpaste brands in India and Thailand, while our South Pacific business benefited from strong pricing for the Colgate Total relaunch. Our results in China improved sequentially in the quarter, but remained negative, as we continue to focus on optimizing our distribution network. As we indicated last quarter, we expect more significant improvement in the second half of the year. The Africa, Eurasia division delivered robust underlying performance in the quarter, with net sales up 0.5%, volume plus 3.5%, pricing up 6% and foreign exchange of minus 9%. The division delivered organic sales growth across every hub, driven by strong pricing. Significant investment in advertising spending over the past few years is paying off in improved growth across the division. Our Eurasia hub continued its improved performance, led by Russia, with solid volume and pricing growth, aided by the Colgate Total re-launch. Our strong volume and pricing performance in Turkey allowed the Colgate brand to achieve all-time highs in market share and establish market share leadership. Our Sub-Saharan Africa business also delivered a nice combination of volume and pricing growth in the quarter. Hill's continued to deliver in Q2, with net sales growth of 3.5%, volume growth of 2% and pricing growth of 4%, were partially offset by negative foreign exchange of minus 2.5%. The turnaround at Hill's over the last 2 years shows that a combination of increased marketing support and strong innovation, behind a compelling brand purpose narrative, can drive growth. While growth was led by North America, every hub delivered positive pricing and every hub, but one, delivered volume growth in the quarter. The international results are encouraging, since they do not yet reflect any impact from the Science Diet re-launch outside of North America. Europe grew both volume and pricing in the quarter, behind our new Prescription Diet Stews business and e-commerce growth. Moving on to full year guidance, which excludes the impact of the Florida transaction. We continue to expect net sales to be flat to up low single digits and organic sales to be up 2% to 4%. Given our performance year-to-date, we would expect organic sales to be towards the higher end of that 2% to 4% range. Based on current spot rates for the full year, we still expect gross margin to be up year-over-year on both a GAAP basis and excluding charges related to our Global Growth and Efficiency Program. We expect the benefits of pricing and our productivity programs to offset an overall increase in raw material costs which include foreign exchange transaction cost. We would expect advertising as a percent of sales for the full year to be fairly consistent with the first half level. We now expect our full year 2019 tax rate to be between 25% and 26% both on a GAAP basis and excluding charges related to our Global Growth and Efficiency Program in 2019 and 2018 and the charge related to U.S. tax reform and the benefit from a foreign tax matter in 2018. Our previous guidance was for 25.5% to 26.5%.  Based on current spot rates, we expect GAAP earnings per share to be down low single digits for the year. Excluding charges related to the Global Growth and Efficiency Program in 2019 and 2018 and the charge related to U.S. tax reform and the benefit from a foreign tax matter in 2018 based on current spot rates, we expect earnings per share to decline mid-single digits for the year. And with that, I'll turn it over to Noel.
Noel Wallace: Great. Thanks John and good morning everyone. I thought I'd open up with a few thoughts before we jump into the Q&A. Solid quarter to be sure. We're pleased with the broad-based acceleration in organic sales growth, particularly for geographic and category level and more sharply around emerging markets as we've continued to focus on accelerating that part of the world. As we’ve said in the past and you've heard me talk about we're really trying to drive faster growth differently and that really begins with a clear understanding of our categories, clear understanding of our consumers in our retail environments and how they are changing and how it shapes our efforts, how it allocates our investments differently, how we decide to innovate differently against those changes and informs the investment choices that we make so far through the first half of the year and moving through the back of the year as well. Happily, you are seeing us pay off to our increased investments in our focus on driving the core through to better utilization as John mentioned. We’re very selective on the adjacent segments that we're going after, Naturals particularly is important; the Premium Therapeutic is an area of opportunity for us; and most recently the focus that we have on Skin Health behind Elta PCA and soon as we integrate the Filorga acquisition that we recently announced. Lastly on the channel acceleration and specifically our go to market approach and we're going after e-commerce where we've seen significant acceleration in the first half of the year as well as in pharmacy and discount stores. Now while the shares in track channels are not where they -- where we like them to be, the first step is obviously accelerating growth across our business on a broad-based perspective and you're going to start to see the shares improve in the back half, but first we need to get the top line moving. And as you well know generating significant share growth and organic growth in non-track channels which is obviously not picked up in the share results that you're looking at. But we know we need to drive profitable growth and to do that we need to change how we think about driving productivity across the organization as well. Of course, we remain focused on those traditional efforts that we've done so well. Our focus on finding the cost which is off to a great start in the first half of the year in particular an accelerated in the second half of the quarter. The due jab which is come to end in the balance of this year, but we are well focused on fully maximizing that as we move through the next six months of the year. And our productivity lens really needs to move beyond just the cost-cutting efforts. We need to think about productivity, and how we really maximize and fully realize the capacity of all the Colgate people around the Colgate world. And to do that, we need to change how we work: eliminating and streamlining processes getting to quicker decisions through the use of data and analytics, using technology across the enterprise to support our business more effectively. You heard me talk about a little bit in the past on SAP, and how we're – now upgrading S/4HANA and we're now looking to build global capabilities once again that will make us far more productive with a single global standard far more simplified and automated system, to allow us to get their decisions quicker, and allow us to find efficiency faster. All of these changes were importantly free up capacity of Colgate people to drive growth and do that on a more sustainable basis moving forward. So excited about the progress we're making, but as I said earlier, more work to do. With that, I'll turn it over to you for the Q&A please.
Operator: Thank you. [Operator Instructions] And we will take our first question from Dara Mohsenian of Morgan Stanley. Please go ahead.
Dara Mohsenian: Hi. Good morning, guys.
Noel Wallace: Hey, Dara.
Dara Mohsenian: So this is now your third skin care deal in the last couple of years here in the segment for a company that generally has been pretty to judicious with M&A in the past. And you mentioned skin care expansion is a priority last quarter. So I was just hoping, if you could give us a better state of the union around your interest in skin care, is gaining a lot more scale in the segment of priority as you look out over the next 5 to 10 years? And just help us better understand the strategy to succeed in the segment from a Colgate perspective particularly relative to some of the larger established competitors that seemingly you are spending a lot of money and effort already in this segment? What gives you the confidence that Colgate can prosper in Skin Care? Thanks.
Noel Wallace: All right, Dara. Thanks. Obviously, we're - let's start off with Elta and PCA which we talked about know a couple of times. We love the capabilities they're bringing to the organization, but underscoring that is the category itself. I mean, Skin Care is a significant category. It's growing at a cliff of about 5% to 6% globally. We know, it's highly margin accretive to us and we feel like the spaces that we are very thoughtfully selected to participate in are spaces that we can do well. So we talked about Elta particularly as we relate to the fact that they're very derm recommended and the capabilities and that we can bring to that on PCA statistician driven and the endorsements that we can continue to drive there. And more recently with Filorga, obviously they are very strong in the pharmacy channel, which we think we can obviously bring significant value to. We’re being selective on the space as we go into, but continue to be very judicious on the acquisition front. These things kind of happen in stream so to speak and we're obviously building out a very strong skin care portfolio, but will continue to be very, very mindful moving forward, and how we continue to build that. If I look at Filorga very specifically, we really love the brand. It's positioned extraordinarily well demographically, when you look around the world. 90% of its business is in anti-ageing and certainly the demographic trends that we see both here in North America and all around the world bode well for that business moving forward. Antiaging within the Skin Care segment is the fastest-growing sub-segment within Skin Care. It's highly profitable to the business and accretive on a gross margin basis. Importantly, they got a really well-balanced management team with significant experience in Skin Care that we think will add real value to us. And as I mentioned earlier, we like the profile of the channels, particularly the pharmacy growth where their premium price within pharmacy, which we think will add a lot of value to our pharmacy business around the world and they've got new expansion opportunities and emerging channels in the world. And last, I'd say geographically, obviously strengthen in Europe, but more importantly emerging strength in Asia, and particularly China. So those are the reasons, we like Skin Care. We’re going to be continued to answer your question to be very judicious and thoughtful about M&A. We feel we got really good one here and it's going to round out the Skin Care portfolio quite nicely.
Dara Mohsenian: Okay. Thanks.
Operator: We’ll take our next question from Andrea Teixeira, JPMorgan. Please go ahead.
Andrea Teixeira: Thank you. Good morning.
Noel Wallace: Good morning.
Andrea Teixeira: Good morning. So can you please elaborate a little bit more on the funding for growth. I think you came in well in the gross margin level. And usually it's back loaded in the balance of the year. So my question is, if we should be seeing that probably slightly ahead of expectation and that funding bit of your overhead expenses on that one if you can tell us, I think its part of your SG&A came in a little stronger, because you're investing in these emerging channels that you just described for Skin Care? r is there anything that may have been heavier in the quarter? And if we have time - if I can just squeeze in China if you could update us on the changes there and the distribution that'll be great? Thank you.
Noel Wallace: Thanks, Andrea. So let me quickly go through the margin forward which I think you heard John take you through. But in summary, we’re obviously pleased with the pricing that we generate in the quarter up one point and funding the growth as you mentioned a little bit outpacing where we where at this time last year. And I think that's a result of more sharpened focused on the cost lines, specifically moving to the first half of this year. And that bodes well obviously for the back of this year, particularly as we see hopefully lower transaction costs are coming through the P&L given we’re lapping some of the significant deval that we had in the second half of last year, material prices were up about 300 basis points, so those are obviously offset with the strong pricing and a strong funding growth that we had. So the outlook for the balance as John mentioned that, we expect to see our gross margin is up and we'll continue to be very sharply focused on funding the growth. And I think the efforts that we have around revenue growth management and premiumization of our bundles, particularly around the core bode well for the back of the year. On the SG&A line, the biggest impact on SG&A in the quarter were result of the following: higher logistics cost, which we've seen as you know creeping into the P&L over the last six to nine months, a swinging compensation this year versus last year, where obviously the results were weaker in the quarter, and last year we had some one-time benefits that we're now lapping through the P&L. Looking ahead, we obviously do not feel we got an issue of cost at SG&A line. We're very focused on maximizing the GGEP programs through the last six months of the year. More importantly, setting up some of the significant changes we've made around the company both structurally and operationally to ensure that they continues to yield savings for us as we move into 2020. The other element of that is looking at what we're going to do with S/4HANA, as I mentioned upfront significant structural change for us over the next 18 months, where we anticipate that will generate significant savings for us as we look to standardize, processes and systems around the world and find ways to drive more agility to the systems. So, all in all, we think we're in a good place. The growth in SG&A was more one time. We think, we feel we got good control of that moving forward.
Operator: We'll take our next question from Steve Powers with Deutsche Bank.
Steve Powers: Hey, great. Thanks. Good morning all. So, as John highlighted, you've been hard at regaining traction in Asia and China specifically over the past several quarters. And it sounds like, you still feel optimistic about those efforts beginning to take greater hold in the second half. But can you maybe help frame your expectations for us in a bit more detail, just in terms of what success would look like over the balance of the year in that region for you? Thanks.
Noel Wallace: Sure. It’s progress specifically. Obviously, we've seen progress sequentially in the quarter from first or second. Asia came in slightly ahead of plan, but not enough to change the outlook that we have guided for the back of the year. Importantly, on Asia, all hubs were up very nicely in the quarter outside of China. And China was sequentially up in the quarter. And so, as we've guided before, we anticipated that we'll continue to see that improvement through the back half of this year. And that's the plan that we're executing as we speak.
Operator: We’ll take our next question from Ali Dibadj with Bernstein. Please go ahead.
Ali Dibadj: Hey, guys. Thanks. I guess, I'm probably just trying to understand whether you think you're hitting the right balance investments versus topline and bottom line delivery. You guys see it much more granularity, but kind of from the outside -- certainly looks like SG&A expenses were up 195 basis points you just said that short term. We could tell A&P was only up about 40 basis points on a percent of sales year-on-year which is below what we had thought and certainly below we thought for the year. And then meanwhile, you mentioned the global toothpaste share was down 40 basis points year-on-year, manual toothpaste share was down 40 basis points year-on-year become to continues to loose share in North America, I guess the U.S.; Mexico; Brazil; Russia; India; China. And to be clear, this is not tracked or untracked out of. This is just by our numbers in the release. And then, you're getting to the EPS by better taxes, lowering the increase in A&P for the year and now seeing you're in a curtailed buybacks by 10% for these acquisitions in Skin care. So it's - you put this mosaic together and I guess I'm struggling to see the clear vector that suggests that you're getting the right balance in terms of investment for the long term. So, or do you need to make more dramatic actions on cost savings or spend back or something else. So, I'm just trying to get a sense of which of those mosaic pieces I should overemphasize versus are underemphasize to feel comfortable that the balance in investments is the right one? Thank you.
Noel Wallace: Thanks, Ali. So let's start with the story that we've been communicating externally which is that is to get an acceleration of topline growth back into the P&L. And the investment strategy to do that as you've seen, we've accelerated our investments and to be sure that acceleration is paid off in the first quarter and then acceleration in the second quarter. And specifically in the second quarter you've see an acceleration across all of our categories relative to that investment. You've seen acceleration across all of our geographies ex-Asia with that investment. So we're pleased by frankly with the focus that we put in a story that we’re building throughout the organization, which is to accelerate top line growth through an accelerated Investment Strategy, you're certainly seeing that payoff. We haven't seen the shares move, as you mentioned we started to see some of the accelerate as we move through the back half of the quarter. The total which is received a decent amount investment in the first half and will continue to receive investment through the balance of the year. Our shares are up globally on that basis. And remember a big part of that was ensuring the investment help us generate the price increase that we executed behind that relaunch, which is on average we are seeing about 10% come through on total globally. So the Investment Strategy to ensure that they had a successful launch we think is playing out. And as you heard from John, likewise on Science Diet where we've accelerated investment we've seen growth across all areas of the P&L and all areas of the business. So again, from an investment standpoint, the story was more investment to generate top line growth and we’re seeing that we take on a balance basis throughout the world.
Operator: We'll take our next question from Jason English with Goldman Sachs. Please go ahead.
Jason English: Hey. Good morning, folks. Thanks for sorting me in. We’ve obviously covered a reasonable ground already. I guess, I'd like drill in a bit deeper on Latin America. As already referenced in money to your market share by country Brazil and Mexico are two areas are excluded from your market share growth figures, yet Latin America has been sort of held up as the area where you reach to your innovation process. It's got perhaps the fastest speed to market a lot going on, you've been expanded channels. Can you update us on the progress of that? And how’s it maybe sequentially market share maybe building in these markets? And also still sticking Latin America, sorry really is a still long winded, this is also the area where going to your segment bridges you're seeing more sequential increase in overhead expenses and the increases is pricing in context of the FX pressure there. Can you give us a little more color on where that money is going in that market? Thank you.
Noel Wallace: Okay. A lot there. So let me step back on Latin America. Again, the focus strategy around core adjacencies and segments we think is really playing out in the quarter. And again, sequentially up on the first quarter, they've now seen two strong quarters of growth and very balanced growth at that relative to pricing and volume. Good pricing coming through in the quarter as well, which is obviously driven by some changes that we made on Colgate Total, as well as our reacting to some of the inflationary pressures that we saw coming through the P&L in the back half of 2018. Looking specifically at Mexico and Brazil, I think we're quite pleased and what we're seeing there. On Brazil, obviously, the categories look okay, slightly down in the second quarter, but on the half still up versus where we were last year. We've seen some promotional pricing on the lower end of the franchise particularly around the Sorriso brand, which we talked about in the first quarter. That continued in the second quarter obviously a bigger dip in February on shares, but starting to see that slowly come back. But more pleasingly was the launch of Colgate Total in both those markets has done very, very well, just getting out of the gates about a month and half of real clear readings on it in Brazil the share is up about 0.5 points on Colgate Total to at least from what I'm seeing a record high share for quite some time at $17.5. And likewise in Mexico, we're up over a point on Colgate Total, where overall shares are flat. So I think the strategy that we're putting in place particularly on Oral Care and driving the core paying off, as I mentioned I think previously, they are pushing aggressively into new channel expansion in pharmacy with the launch of elmex that is driving incremental share in pharmacy as we speak. And we're happy to see what elmex is doing and continues to grow month end and month out. And the launching into some new adjacencies as well across the division which is doing well. What I was particularly excited about in the quarter was every single operating hub group across Latin America. We haven't see that for quite some time at least consistently. So again, I think the strategies there that we're deploying around the core adjacencies and segments are playing well. Good pricing in the second quarter, which will play out obviously with our Investment Strategy in the back half. And we're seeing more and more investment go in. Coming back to certain extent to Ali's question, as we see Latin America accelerate, our Latin America has a lower advertising to sales given some of the cost of media in those businesses and that obviously moved its way through the overall company P&L. But again good plants in the back half with accelerated investment in that region.
Operator: We’ll take our next question from Lauren Lieberman with Barclays. Please go ahead.
Lauren Lieberman: Great. Thanks so much.
Noel Wallace: Hi, Lauren.
Lauren Lieberman: I wanted first to just follow-up on Brazil. I was actually focused a little bit more on volume just to comparisons, because I know that last year we had the Brazil trucking strike notwithstanding efforts is that a market share question. But I was just curious about volume trajectory in Brazil. If there was any impact there from some of the pricing you've taken in terms of the slower build back on volumes specifically? And then I do have a second bigger-picture question. Thanks.
Noel Wallace: Okay. Sure. So yes, we did take pretty significant pricing in the quarter. And I'll remind everyone that the cadence volume and pricing that we had last year as you may recall most of the truckers strike out the impact of that hit us in the third quarter. So the comparisons get much easier for us going forward. We didn't have - while we did have a small hit in the second quarter last year, it wasn't to the extent that we saw it in the third quarter, which is where most of the impact came through the P&L. In this quarter, our volume was slightly down, but pricing was strong. And largely driven by some of the price changes that we made based on some of the inflationary pressures that we faced in the back half of the year. Categories continue to be okay as I mentioned earlier and we got a strong innovation pipeline in the balance of the year and investment to support that. So we feel we are in a good position to see continued acceleration, particularly given the comparisons get easier in the year to go.
Operator: And we'll take our next question from Bonnie Herzog with Wells Fargo. Please go ahead.
Bonnie Herzog: Hi, thank you. Good morning. Actually, I wanted to circle back to some of your comments on your top line. I guess, I'm trying to understand your ability to sustain the improvements you've seen, especially as you head into next year and you have to let the innovation of the re-launches that you put into the market. And I know you're not going to give guidance for 2020, but could you touch on your ability to lap the innovation from this year? And then, maybe how full year innovation pipeline is for next year? Also as we think about your spending levels that did increase things continue to improve will you continue to reinvest in your business a long-term or should we start to see some of these potential upside sort of the bottom line? Thanks.
Noel Wallace: Thanks. Specifically on the topline next year is no different than any year in the sense of that we continue to be focused on ensuring that we have won the right level of innovation to continue to drive incremental value in the market that we're focused on driving category value which is extremely important. You heard John talk a little bit about the success we're having behind revenue growth management and the discipline that we're deploying across the world to ensure that teams are thinking very differently about how to drive value back into the category which ultimately drives better topline growth for us and our trade customers. And then likewise as we look at some of the adjacencies geographic expansion opportunities we have each year being very deliberate about how we go after those. And so next year we'll be looking at some category expansion opportunities into new markets, we'll be looking into new agencies, and we'll be looking to support new core businesses as we mentioned which is going to be important part of our growth strategy moving forward to ensure every 12 to 18 months, we have a significant core business that we're putting investment behind to ensure that the incremental innovation we're getting behind adjacencies and channel expansion indeed comes on top. In terms of getting gross margins up and our focus there, I think we're starting - we're really happy with the fact that we've seen gross margin acceleration this quarter. That is the function I think of again sharpened focus on finding the growth, but more importantly, the pricing that we have taken on the revenue growth management aspects that are coming more a day in and day out in terms of how we manage the business. As we look at the back half as we see more benign inflation environment, particularly around foreign exchange, we expect that to continue to bode well for the gross margin line which will all of the investment that we need in the business to continue to accelerate that topline growth on a sustainable basis.
Operator: We’ll take our next question from Wendy Nicholson with Citi. Please go ahead.
Wendy Nicholson: Hi, thanks very much. A couple of things. First of all can you disclose how much the distribution expansion for Elta and PCA contributed to your organic sales growth? Second quick thing just in terms of the comments you made, Noel, about how the channel market share data hasn't looked as good as you expected to, but actually the North American shipments looks pretty good this quarter. So, my question is do you have sense or is there any there could be excess inventory in the trade? In other North American growth have to slow as the market share is kind of catch up with your shipments? And then my last question is with Justin having left the company as you kind of look at the management structure as you settle as new CEO, do you think is there going to be a new Chief Growth Officer? Are there other changes in sort of the management structure contemplated or is this just a typical Colgate succession planning all that kind of good step rolling through? Thanks.
Noel Wallace: Great, Wendy. Thanks. Let me go one by one. Specifically, we don't disclose and break out obviously PCA and Elta within the context of the U.S. I'd say the growth was balanced. We had growth across all of our core segments in the quarter in the U.S. specifically Oral Care, Personal Care, and Home Care, as well as on the Hill's business as John mentioned, and obviously PCA and Elta continue to have a good quarter in that regard. Relative to the management structure question, obviously, as you well know as well as anyone we have a deep bench of tremendous leaders across the organization. With Justin's departure, we’re looking to obviously continue to develop our organization for people in new roles and responsibilities and we're in the process of making that happen. We've made some recent changes, which I'm really excited about, which elevated the responsibility of [indiscernible] specifically and move some new people into new roles across the organization and all that I think bodes well for practically the strategy that we're trying to execute moving forward. So in that case all good moves and very qualified bench of people to choose from in that regard. Relative to your question on inventories, I know that came up last time as well, I think from Ali, there is no inventory issues in the U. S. And we've had nice growth and untrack channels as you know particularly around the toothpaste business, Colgate Total way over in indexes and club, had a good quarter on club, having a good growth in some of other track channels e-commerce specifically. We saw significant share growth on the toothpaste business in the quarter, so all that obviously rolling up to a stronger organic delivery in the quarter for the North American business.
Operator: Our next question will come from Steve Strycula with UBS. Please go ahead.
Steve Strycula: Hi, good morning. My question is after three recent acquisitions, it appears that you're slowly stitching together a global premium skincare business with the clinical focus. So how do we think about the leadership and integration strategy of these businesses and one is in primarily France and China versus other assets in the U.S. How it is being integrated? What’s the leadership structure? And then if you could give us any more texture separately on the oral care business in China, you mentioned some improvement sequentially. But where are we in terms of milestones and repairing that business, maybe some qualitative talking points? Thank you.
Noel Wallace: Sure. So listen as we have learned in many of the successful acquisitions that we’ve made and we've been very prudent in approaching these acquisitions in this way and that is to ensure that we respect and admire the independence of these organizations. And from that perspective we will continue to run independently as we learn the business and more importantly understand how we can leverage some of the best practices across our entire skin care portfolio. So today Elta, PCA and Filorga are run independently, but that being we have a team of people here in New York as we’ve done through our other categories, ensuring that we are looking holistically at the business, leveraging the synergies that we see across the three different businesses. And more importantly from a growth opportunity ensuring that we’re sharing best practices across the three businesses to sustain accelerated growth moving forward. And as we go through the due diligence of each of those acquisitions, we very much put that in the back of our mind, how are these going to help the other businesses that we have. Not only on the skin care side, but obviously on the Colgate portfolio side as well in terms of transferring best practices. And that's something historically and culturally that we've done really well across the company. And that is to share the learning. And there's a tremendous sense of humility when we go in and make an acquisition to respect the depth of the management team what they've accomplished and to ensure that we listen and learn, but provide the scale and the efficiencies to them, so they can continue to drive top line growth. On the China question, it is moving exactly as anticipated. It is slightly ahead of schedule relative to some of the pickup that was on the quarter, but a lot of work to do. And we’ll continue to see momentum build in the third quarter and into the fourth quarter this year based on the plans that we're executing as we speak.
Operator: Our next question will come from Javier Escalante with Evercore ISI. Please go ahead.
Javier Escalante: Back to China again. So basically this improvement if you can basically split it between acceptance of the price increases as you took last year versus if is it elmex that is gaining traction online or is it that the destocking that is [indiscernible] And I have a more longer-term question after that. 
Noel Wallace: Thanks Javier. It's all of the above. Obviously as the go-to-market shifts happen so dramatically across specifically China over the last nine months, we needed to rebalance the inventory in the market and that is well underway and we've seen improvements in that respect. The elmex launch continues to do well and -- as it widen its distribution both across different e-commerce platforms and a rollout in Watson as well. So all in all, it's all those elements, the pricing likewise holding particularly on the 360 franchise that we took in the back half of last year, but it's all really trying to get the portfolio right the go to market strategies changes, right, the distributors strategies implemented as well. And all that is on schedule as I mentioned.
Operator: Our next question will come from Kevin Grundy with Jefferies. Please go ahead.
Kevin Grundy: Thanks, good morning. Noel two-part question, if I can. First one just gauging the success of the Colgate Total rollout in the U. S.. Some of the Neilson data we see, suggest the brand is down about 0.5 point. I think the hope was to take some share from Sensodyne. Sensodyne seems like the market share trends are accelerating there. Maybe talk a little bit about of your gauging success so far with the product rollout to date? And then I hope, I can throw another one here. John spoke to the company superior results in the online channel where you're gaining share. And of course we've seen skin channels with the company is probably not where it hopes to be at this point from a market share perspective and bleeding little bit of share in Oral Care. Why do think that is? And maybe you can speak tactically what you need to do to address that? Thanks for those.
Noel Wallace: Sure. So again on Colgate Total, if you look globally where we are right now, the share is up, close to 0.5 point on the business. And that obviously considers the fact that we're down about 20 basis points in the U.S. which is on a weighted basis weighs very heavily into that 0.5 points growth that we have globally. So we're very pleased with where we are. Specifically on the U.S. recognized that we took a 16% downsizing on that product. So we're looking for the purchase - the recycle - excuse me, the purchase frequency of the brand to accelerate share moving forward. You're not going to get the price acquisition immediately moving through the consumption and therefore the share that will over time accelerate as we get the frequency of repurchased to accelerate. So all in all, we’re pleased with where we are particularly pleased with the fact that we generated about a 10% increase globally on that business which is one of the more significant increases that we've seen on that franchise and over a decade. And that bodes well, given that we have a sustainable spending on that business in the back of and we continue to rollout and some of our bigger baskets, particularly Latin America we just got under way towards the back end of the quarter. So all in all we are pleased. Not pleased with the track channels and despite the fact that we are growing in un-track channels really well, we need to get track channels growing again. So a lot of coupon activity in the first half of the year. We saw some share erosion on the base business in the first quarter which we're obviously trying to play a little bit of catch-up, but we're not going to chase some of this coupon driven activity that we're seeing. We want to ensure that we continue to move the franchise towards the premium end both on Colgate, Total with the launch of the Naturals and with the launch of some of the Whitening SKUs that we're putting into the market which will hopefully drive more incrementality moving forward. So more work to be done to be sure, but pleased over where we are with total re-launch.
Operator: And our next question will come from Bill Chappell with SunTrust. Please go ahead.
Bill Chappell: Good morning. Thanks. Hey, Noel just kind of big picture on emerging markets it certainly sounds more optimistic about kind of how things are trending. And I guess, the question is we saw the similar type optimism 18, 24 months ago, and then it went south for not just you but for everyone. I mean, is there a way to kind of talk about how this time is different? Or if it's not different so far are you just kind of cautiously optimistic in kind of what you see on the horizon?
Noel Wallace: Sure, Bill. So I'll let me - again we talked about Asia quite extensively, so I won't get into more specifics, obviously a good growth outside of China and the plans in place to see China continue to make progress in the back half of the year. I haven't talked a lot about Africa as you remembered that was a real headwind for us over the last couple of years, a completely focused on the fundamentals in those markets and some terrific execution by the team on the ground. We've seen a real acceleration in that business moving forward pleasingly Russia doing quite well Eurasia, Turkey likewise doing quite well where we achieved market leadership very recently in the toothpaste category in that market. So again Africa we think doing quite well and the fundamentals will bode well moving forward. Latin America, largely driven by some of the economic and political changes that we saw over the last 18 months and we'll be cautious on Latin America moving forward. So particularly in Brazil and Mexico, where you've seen political change, and new leaders in their first year of their administration we'll see how that unfolds. There's always uncertainty associated with that. But the categories was slightly down in the second quarter on the first half as I mentioned earlier up versus where they were last year. But the fundamentals I think we have in Latin America around again the core, the adjacencies and the channel work that we are doing we think will continue to bode well through the back half of this year and the comparisons particularly Latin America – America favor us as we look to the back half.
Bill Chappell: Got it. Thanks.
Operator: Our next question will come from Nik Modi with RBC Capital Markets. Please go ahead.
Nik Modi: Yes. Thanks. Good morning, everyone. So just two little quick ones.
Noel Wallace: Hey, Nik.
Nik Modi:  Noel, maybe you can - hey, how are you? Good morning. Maybe you can just talk about your definition of skin health? And I'm just curious, if your definition longer term would extend outside of Queens [ph]? So that's the first question. And on the second question is really on FX. I mean, obviously its created tons of havoc over the years for all multinational companies. Coca-Cola provided some thoughts about how they expected to be a benign year in 2020 and I was hoping maybe you have some thoughts from your treasury group on have you guys are thinking about FX as you think about the next 12 months?
Noel Wallace: Sure. Let me take that FX question first. Obviously, we saw an acceleration of FX in the back half particularly Latin America and Eurasia. And we're expecting a slightly more benign environment obviously given those comparisons, but we can't be certain. There's obviously a lot of political instability and lot of rhetoric going on around the world. So I would hate to sit here and tried to predict exactly where FX is going to go. I'll remain cautious but we think it will be certainly better than what we experienced in the back half of last year. Specifically, as it relates to skin health, it's a big category. Obviously, there's a lot of different spaces to it. We like Elta and the sun care business. It's got a great skin cleansing business which is close into what we understand. PCA is uniquely positioned in the categories in which they compete. We like those. And the recent acquisition of Filorga obviously on the antiaging, we like that space a lot specifically one because of the economics of the space and the premium nature of it, but more importantly, as you look at the aging consumer everywhere in the world that will continue to be an expanding category for skin health. So, while we're being selective on where we go in. We want to ensure that we have great brands with great go-to-market and great management teams and that's kind of how we've looked at skin health, but obviously, the three are we believe are well-positioned where they compete and complement each other the longer term really well.
Operator: We'll take the next question from Olivia Tong with Bank of America.
Olivia Tong: Great. Thanks. I wanted to talk about the U.S. You alluded to a couple of efforts to improve performance in track channels, so little bit more detail there on how these initiatives help specifically in track channels? But also you continued to do significantly better in non-track, so is there any reason to expect that that relationship will change as you put more focus on track channels, presumably you're not driving growth in track by shifting between the two? And then just one quick thing on SG&A. Obviously, higher comp logistics you talked about, but some of it, it sounds like restoring sort of more normalized levels of comp, but is there anything in terms of like the investments that you're making hiring more people building out capabilities and systems and things like that? Thanks.
Noel Wallace: Okay. So, let me try to address the first question there which is on track channels and untrack channels and how we think about that. First, we take a step back and ensure that as I mentioned upfront that we're really understanding the changes in the omnichannel environment and those changes happen very quickly relative to where the growth is coming from and how consumers are shopping. So, we’ve invested a lot more time and effort to ensure that we have a much sharper strategies around our go-to-market for ensure that we are putting resources, spending, and innovation against of the standards that we think are going to continue to accelerate. Particularly as it relates to the U.S., obviously, great growth in the first half of the year on e-commerce, our share up about 140 basis points, split between both Colgate and Palms and that's a function of one understanding the route-to-market and the route-to-purchase from consumer and getting innovation and the execution right in that channel. We talked about pharmacy channel around the world being one of the faster-growing channels that we see globally and we put plans in place to execute that both from a resource standpoint. And what I mean specifically by that is how we allocate our sales organization to growing opportunities and likewise from an innovation standpoint and from a portfolio standpoint where we've launched elmex, particularly in the very select geographies where the pharmacy channel is outpacing the market and where we're under-indexed in terms of share. So again, Olivia, we look at it very holistically and our channel strategies are allocated based on where we see the best growth opportunities. And when I talked a little bit upfront about how we're thinking about growth differently and how we are driving growth differently, it's ensuring that we're looking at each of those channels very exclusively in terms of our go to market, specifically as it relates to the innovation required to be successful. And we're starting to see that play off as we see the acceleration, particularly in non-track channels moving forward. On the SG&A, I think you hit it all already, but the last point you made is an interesting one in the sense of as we look at allocating resources and driving productivity across the organization, it really is ensuring that we are putting people in places that want to go to drive more accelerated growth for the company. So let's take their of digital and analytics and predictive analytics and making sure that we are putting resources in those areas because, we believe that will bode well and drive more sustainable growth and efficiency across the P&L moving forward. So, it's a shifting of resources in that line. The SG&A acceleration you saw in the quarter was not a result of adding more people, it was a result of the specific areas that I articulated earlier.
Operator: And our final question will come from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Thanks and good morning everybody.
Noel Wallace: Hi Mark.
Mark Astrachan: Two questions. One on Filorga. If you can just comment on what the growth rates have looked like trailing 12 months may be expectations on a go-forward basis. And on Pet Nutrition, so a large competitor reported similarly strong topline results this morning. I guess it seems like category growth rates not to take anything away from your performance have accelerated. So I guess I'm curious, what you think is driving the acceleration? How much is it priced versus underling category demand and what do you think a reasonable long-term growth rate would be from a category perspective?
Noel Wallace: Thanks, Mark. So back on Filorga, obviously, all I can disclose at this point, the acquisition hasn't closed is that we're very attracted by not only the growth rates of the category itself, but the growth rates of Filorga and the potential for continued growth in geographic expansion moving forward. And will disclose more information as we bring that under the Colgate family. Specifically, as it relates to the premiumization and the dog food category and the pet food category, I mean good growth we've seen a bit more stability in pet retail especially among PetSmart and PETCO, but still somewhat challenged that continued acceleration of e-commerce where we’re seeing nice growth in that business. And I think importantly, as we are seeing share growth around -- in the U.S. around the signs diet relaunch, which again included obviously significant packaging changes, significant reformulations, new campaigns and accelerated investment which will all intended to help support and drive trial, but more importantly justify the price increase that we took on the business which we had done in quite some time. So, all in all, we think the plans we have in place on hills. The fact that we've expanded distribution into some new channels and we got a terrific piece of advertising working for the business will bode well as we look to expand the Science Diet relaunch internationally in the back half.
Operator: And this does conclude today's question-and-answer session. I'd like to turn the call back over to John Faucher for any additional or closing remarks.
John Faucher: So let me quickly close, as always, let me thank the entire Colgate family of people out there that have done such a terrific job again delivering sequential growth in the quarter. I remind everyone we’re in the third quarter, get back to work. And thanks everyone, have a great weekend.
Operator: Again ladies and gentlemen, this does conclude today's call. Thank you for your participation. You may now disconnect.